Operator: Greetings and welcome to Ideanomics Q1 2020 Earnings Call. At this time, all participants are in a listen only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Tony Sklar, Head of IR.
Tony Sklar: Thank you very much operator and welcome everybody to the Ideanomics Q1 2020 earnings conference call. Joining me on the call today, I'm pleased to have Mr. Alf Poor, our Chief Executive Officer; and Mr. Conor McCarthy our Chief Financial Officer. A webcast of today's call will be archived and available on the Events and Presentations section of our corporate website for a minimum of 30 days. And as a reminder, again, this conference is being recorded. During our call, we will make forward-looking statements, such as dialogue regarding our revenue expectations or forecasts for quarters and the full fiscal year 2020 related to our business. These statements are based on our current expectations and information available as of today and are subject to a variety of risks, uncertainties and assumptions. Actual results may differ materially and as a result, varying risk factors that have been described in our periodic filings with the SEC. As a result, we caution you against placing undue reliance on the forward-looking statements. We assume no obligation to update any forward-looking statement as a result of new information or future events, except as required by law. In addition, risks are more fully described in the Ideanomics public filings with the U.S. Securities and Exchange Commission, which can be viewed at www.sec.gov. Today May 11, 2020, the company has filed its 10-Q with the SEC and afterwards issued a press release announcing its financial results. So participants in this call who may not have already done so may wish to look at those documents, as we provide a summary of those results on this call. The format for today's call will be as follows: Mr. Alf Poor, our CEO, will speak to the company's overview and business strategy, as well as the activities and developments for the first quarter and fiscal 2020. Mr. Conor McCarthy, our Chief Financial Officer, will speak to the company's operating and financial results for the first quarter. Then everybody's favorite, I know, the Q&A session. I know, very exciting. I will now hand the conversation over to Mr. Alfred Poor of Ideanomics, our CEO.
Alf Poor: Thank you, Tony, and thank you and good afternoon to everyone joining our call. I'm going to begin with some general remarks about the COVID-19 outbreak, what impact it has had, continues to have and may have in the future. I'd like to start off by saying that we hope you and your loved ones are safe and healthy. And to all the front line workers, medical staff and those working in our supermarkets, pharmacies, public transportation, et cetera, we are extremely grateful to you and applaud your courage and dedication. Given that we're a company with operations in China and the U.S. as well as Malaysia and the Ukraine, we have seen the COVID-19 outbreak play out through multiple different lenses. We have remained more or less operational throughout and most of the staff in China have returned to their offices, albeit with a rotational work from home program in place, to ensure the staff maintain appropriate social distancing. The wearing of masks in flu season is commonplace in China and our staff is continuing to wear masks during the workday when they are in our offices. To help minimize disruption to our business here in the U.S., we secured surgical grade non-N95 masks via our colleagues in China. We didn't want to take N95 masks away from our frontline medical staff. So we had them ship over the next best thing and this has allowed us to provide our U.S. operations staff with a reasonable supply for themselves and their families. Despite the fact that we closed our New York offices and reverted to work from home in early March, we have had several suspected cases of COVID-19 within our New York-based staff, ranging from persistent coughs, lack of smell and taste, accompanied by several days of fever and more traditional flu-like symptoms. All of these occurred after we announced the work-from-home policy and I'm pleased to say that each of those with suspected symptoms were relatively young and healthy, so they self-quarantined and recovered at home. The long-term impact of COVID-19 is still being assessed. And while we are confident in our ability to execute on the timing of sales going forward, results may shift due to unforeseen complications resulting from the pandemic. Any second wave to the extent seen so far this year is likely to cause another shutdown and this will impact our ability to conduct deliveries and therefore derive revenues. Additionally, other business performance objectives, such as the planned IPO of Treeletrik, may have a dependency on how the pandemic plays out. Moving on to our Q1 performance. COVID-19 effectively disrupted our China-based business and our Treeletrik business in Malaysia, just as it is currently disrupting the majority of businesses in the U.S. at this time. What we are experiencing in Q2 in the U.S. is essentially what China went through in Q1. Our results were impacted as our MEG business is dependent upon physical deliveries and those were just not permissible in China from mid-January onwards. Even after we restored operations in late March, the restrictions were lifted slowly and partially until well into Q2 with some inter province travel restrictions still in place today for cities such as Beijing. I want to make this very clear to today's audience. The orders are otherwise intact. They simply could not be fulfilled as planned due to the outbreak. And while we were only able to achieve a small number of deliveries in Q1, other areas of the business continue to drive forward. We have been unable to progress our orders in the bus and taxi divisions as mass transit was largely off-line for anyone other than essential workers in China. Understandably, fleet renewal and expansion was not on the immediate public transport agenda during the pandemic. Conversely, the logistical vehicle segment did see strong demand as a result of a spike in online ordering as people stayed home and relied on deliveries. Indeed, we are currently proceeding with meaningful orders of vans and small trucks within our logistical vehicles division as a result. While deliveries and related financing were interrupted in Q1, our business development teams were busy and able to continue the momentum in our deal pipeline to add to the order gains in 2019. Despite the disruption caused by coronavirus, we continued our deal origination activities with pleasing results. Some of these will be significant revenue drivers such as our announcement of the deal with Beijing Silk Road Rainbow car rental group which is among several we were able to announce in the quarter despite the disruption. One of the benefits of operating in a country where change is driven by regulations such as China is that MEG and its customers can continue to plan confidently for the future even if some of the immediate objectives could not be achieved. In January, we announced an investment of CNY 50 million or approximately US$7 million from Qingdao Xinyang City Investment Fund as part of a series of investments valuing our EV hub in Qingdao at CNY 2 million or approximately US$288 million. This was an important milestone in the development of our EV business and we are very pleased to have a strong and progressive partner in the city of Qingdao. The strategic discussions continue on a daily basis with Qingdao officials and we'll be making further announcements in the coming months in this regard. While day-to-day commerce was impacted, our software teams were able to continue without disruption in Q1. We continue to progress our internally-developed applications and systems designed to support our MEG and Treeletrik operations with their customer onboarding and quote systems being extended to include automatic order agreement generation as part of feedback to see from our teams. These are important customer acquisition of retention tools which will help us scale the execution of our order pipeline and will be integrated into the soon-to-launch MEG website which will initially be available in both English and Chinese. While we are laser-focused on growing revenues, we remain disciplined in controlling our costs and we are always looking to improve our efficiency across the board. This is an important discipline should there be a reemergence or second wave of COVID-19 in the future.  I'd like to speak now about the macroeconomic outlook in Q2. The fundamental economic backdrop is intact in China as China continues to support the adoption of EVs and the recent economic stimulus measures in that country favor progressive industries such as electric vehicles. While COVID-19 caused disruption, the key drivers for global EV adoption zero emissions cost of ownership and technological advancement have not changed and the lockdown in China only served to accent the environmental benefits as they witnessed a dramatic reduction in air pollution during that time. The Chinese government is taking aggressive measures to revive its economy with at least $1.1 trillion in economic stimulus earmarked for 2020. And the strategic focus is new infrastructure investments which include EV and EV charging in addition to 5G smart cities and high-speed rail among others. While COVID-19 saw us take a hit in the short term, companies such as Ideanomics MEG will place the benefit from such stimulus measures. One work in example of this is our gas station to charging station conversion pilot in Nanjing, which is in Jiangsu province. The province plans to promote the adoption of 250,000 clean energy vehicles under its regional stimulus package and is targeting partner development for the charging infrastructure necessary to support this level of adoption by the end of this year. Outside of China, the automotive industry in general continues to make statements which provide us with confidence for the months and years ahead. Recently Daimler CEO, Ola Kallenius said on a recent Q1 earnings call that the Daimler organization continues to invest in key technologies including electrification and digitization. They are nonnegotiable elements of our future. Those types of statements are meaningful not only for Ideanomics but also serve to validate our customers' commitment to moving their fleets over from gasoline and diesel to fully electric. Put simply we're confident that the investment, we put into pursuing our S2F2C model in the EV sector is one which will create significant shareholder value and I'd like to speak now about our Q2 activities to-date and overall outlook. We had previously announced that the funds required to support our order book would begin to go live in Q2 and I am pleased to let you know that the first of these funds are on schedule. We are working with our lease financing consortium partners on completing further funds at this time and should have an additional three funds for a total of six online by the end of the year. These are important developments as they enable us to begin fulfilling multiyear orders with confidence from what is now a robust and diverse pipeline. We had hoped to provide investors with revenue guidance of this juncture based on what would have been a decent Q1 and the start of a meaningful ramp-up in Q2 but the COVID-19 outbreak has obviously pushed that out further into 2020. However, we do plan to announce our more meaningful deliveries as they occur so investors in the market, in general, can begin to gauge our performance throughout the remainder of the year. In terms of existing orders previously slated for Q1 such as Chengdu Taxi sales, I can advise that the local government introduced emergency budget hedges to free up access to funds to support its response to the pandemic. Among those funds impacted were those the amount for EV rebates and subsidies. We anticipate these rebate funds which are under consideration for approval in June will become available once again and enable us to service the outstanding orders from Q3 onwards. Indeed the main priority at this time is to execute on EV orders and related energy orders as a result of those EV deliveries. MEG sales revenues are diversified and come from four key contributors. One, the commercial EV sales that do not require financing; two, lease financing fund dependent sales which is the majority of our MEG order book; number three, sales derived from our hub in Qingdao; and number four, China sales in Treeletrik and other partnerships being established. In terms of MG sales we are in process of procuring a license that will see us derive revenues from four key areas which are: one prepaid electricity sales to commercial fleet operators; two electricity sales from EV charging stations; three electricity sales to 5G towers; and four energy sales from a four-in-one energy card we are planning to launch this year in conjunction with China UnionPay. Additionally, as mentioned in our recent press releases, our EV hub in Qingdao had a soft launch on May 1st and as such will be a contributor to our Q2 revenues. The existing business we assumed at our national sales center in Qingdao services both consumer and commercial inquiries. And I am pleased to announce the orders for the center are already underway. With that in mind I'd like to finish my remarks by announcing that we are planning to have our AGM in the summer this year possibly as early as the end of June or mid-July to be held in New York City and Qingdao. The purpose of bringing it forward when we traditionally hold it at the end of each year is to showcase our MEG business under commencement of meaningful orders as well as to align with the formal ribbon cutting for our Qingdao EV hub and to introduce select partners participating with us in Qingdao. There is, of course ,a dependency on pandemic tailing off but our intention is to facilitate this interactively through videoconferencing if in person is not possible. That concludes my remarks. So, I'll hand you back to Tony Sklar.
Tony Sklar: Thank you so much Alf. Now I will turn the conversation over to our Chief Financial Officer, Mr. Conor McCarthy.
Conor McCarthy: Thank you, Tony and thank you to everyone joining our call. As Alf discussed earlier, despite the disruption due to the coronavirus we've been able to execute on our order book. Assuming the current state of the world begins to gradually improve we will continue to make progress throughout the year and we expect the steps taken over the last year will provide us with both near and long-term revenues and the subsequent increase in shareholder value. Turning to the results for the quarter ended March 31, 2020. At a high level, the takeaways for this quarter are, despite COVID-19 disruption, Ideanomics fulfilled sales orders just demonstrating the ability to execute on our order book, cash and cash equivalents at the end of quarter one 2020 increased to $5.9 million from $2.6 million in the previous quarter, and we maintained cost discipline and implemented some cost-saving initiatives. Turning to revenues. Revenues for the quarter ended March 31, 2020 was $0.4 million as compared to $26.9 million for the same period in 2019, a decrease of $26.6 million or 99%. The revenue in the first quarter of 2019 included $26.8 million from the provision of digital asset management services. There was no revenue from this source in the current quarter and we do not anticipate any revenues from this contract in the remainder of 2020. In the current quarter, we recorded $55,000 sales from sale of EVs taxis. Achieving these sales during a period when almost all economic activity in China was at a standstill is a testament to the dedication and innovation of our China-based sales and operations team. The $55,000 of EV revenue was recorded on a net basis as under the U.S. GAAP rules relating to revenue recognition, it was determined that Ideanomics acted in an agent capacity for these sales rather than as a principle. For information purposes only, if we had acted in a principal capacity the revenues would have been approximately $300,000 with a related cost of revenue of approximately $245,000 and the gross profit would have been $55,000. The gross profit for the three months ended March 31 were $44,000 as compared to $26.7 million during the same period in 2019. The gross profit margin for these months ended -- for the three months ended March 31, 2020 was 12% versus 99% in the same quarter last year. The decrease was almost entirely due to the very high gross margin on digital asset management service revenue which was not repeated in the current quarter. Turning to operating expenses. Operating expenses in the current quarter were $9.5 million versus $5.8 million in the prior year, an increase of $3.7 million, which was principally due to an increase in stock-based compensation expense of $2 million. Additionally, we recorded an impairment charge of $800,000 related to the early termination of a long-term property lease. We recorded offsetting gain in the second quarter of approximately $900,000 with the net result being that we exited a long-term lease commitment for minimal cost. Finally there was an additional $0.5 million related to the final true-up expense for the Depot acquisition. The operating loss for the quarter ended March 31, 2020 was $9.4 million compared to a gain of $20.9 million in the first quarter of 2019 and a loss of $14.2 million in the fourth quarter of 2019 excluding experiment -- that the $14.2 million excludes the impairment charges taken in quarter four. Interest expense increased by $2.5 million to $3.2 million for the three months ended March 31 from $700,000 during the same period in 2019. The increase in interest expense was primarily due to the amortization of beneficial conversion features and the interest associated with convertible notes in -- issued in 2019. There was no interest expense paid in cash in the first quarter of 2019. And that ends my remarks. So I'm going to pass it back to Tony.
Tony Sklar: Thank you very much Conor. This concludes management's prepared remarks and now very excited for us to answer a few of the investor and analyst questions. So Brock, if you want to give everybody their instructions. We can give everybody just a couple of minutes to get that done.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question today comes from Ryan Yonk [ph] of BridgeRock Partners. Please proceed with your question.
Unidentified Analyst: Hi there. The Asian region is a big opportunity for electric bikes, given that they're one of the biggest modes of transportation. Just wondering when will Treeletrik be fully operational and selling electric bikes at a bigger scale?
Alf Poor: Hi. Yes. Thank you for that question. It's an interesting question. Treeletrik secured towards the end of last year, a very large-scale deal for more than 1 million units over three years in Indonesia. In order to do that, we need to set up a subsidiary in Indonesia. That was in process to happen quite quickly, until the COVID-19 lockdown occurred. Until Indonesia's government administration departments come out of the lockdown, we won't be able to finalize that, but it's our intention to begin working on large-scale orders. Obviously, Indonesia is the largest -- most popular country in Southeast Asia, but otherwise we'll be looking to India and some of the other countries which rely heavily on base as well through our three divisions. So it's a big area of growth for us. We already have some exciting deals there, as I said, with the more than 1 million units in Indonesia that they secured towards the end of last year. As soon as we get the lift of the lockdown, I believe, we'll be in a position to begin fulfilling.
Unidentified Analyst: Okay. Thanks for answering that. And the second one is it's been mentioned many times that financing or umbrella financing has been one of the primary hurdle for sales. I see that there's been several financing pools announced. Just wondering, what's the total amount of the financing pool funds that have been secured? And if there's any noteworthy restrictions on their deployment at all?
Alf Poor: Yes. So there is -- the first two announced in the region of about CNY 100 million each. The second will be about -- the third will be about half of that. The first of them coming online is the one to help us with truck orders, primarily in Inner Mongolia and some of the other mining rich areas, quickly followed by one coming online for logistical vehicles and then the more mainstream stuff that will come on for bus and taxis. So in terms of restrictions the -- obviously, the parties coming in need to be creditworthy customers, of course. There's a lot of state-owned entities in our pipeline. So that gives us assurance that we'll be able to place successfully those orders. The types of restrictions in place really are typical ones you would see for lease financing. They're based on -- well we have a buyback program in place with the battery apparatus like CATL so that's an important part of that. But, secondarily, it's really just the balance sheet and the ability for those businesses to be able to afford the financing they're applying to.
Unidentified Analyst: Okay. Got it. Thanks for that. Those were my two questions.
Alf Poor: Thank you.
Operator: The next question is from Rosie Ruby [ph], a private investor. Please proceed with your question.
Unidentified Analyst: Hi. Concerning MEG's revenue derived from the spread on group buying activities, which commercial electric vehicle segment out of the buses, heavy-duty trucks, taxis, logistical vehicles, which one of those are the most attractive?
Alf Poor: There's a rough rule of thumb here. The bigger the ticket, the bigger the spread that's achievable. So the heavy trucks and the buses are the ones where we expect to make the larger spreads in the 8% to 10% region. And in the trucks -- in the taxis and logistical vehicles, obviously, those are smaller ticket purchases. So those will typically be within the 4% to 7% range. Those are the types of spreads we expect, although, I think the spread was slightly higher from the few taxi sales that we're able to fulfill in Q1. But, typically, it's a thinner margin business. So the smaller ticket, the smaller the spread that you can make.
Operator: The next question is from Alan Stone of Wall Street Research. Please proceed with your question.
Alan Stone: Hi, Alf. Hi, Tony. I had a question about the filing that you did recently for the, I guess, you called the state line of credit, I believe it was a $50 million facility and I was wondering if you could address that and how that's coming along when you anticipate, you may be able to start to begin to draw down on that facility.
Alf Poor: Thank you Alan for the question. Hope you're well. Yeah, so we decided to put the Cedar up there. It's good corporate housekeeping for a public company to have a shelf registration. We're able to get that registration statement effective. And essentially this is here for working capital if we need it in the short-term. We did recently do a drawdown of that $1 million. Essentially that was to help us -- we took a look at basically what we could do with the Cedar. So we made an initial drawdown of $1 million and that was to assist us with our D&O premium with rising cost of D&O for public companies. Obviously we got $1 billion slightly larger than we expected. So we used the Cedar to; A, test the waters on that; and B, to take care of that D&O premium as it came up.
Alan Stone: So it's fully effective now. You can drawdown additional amounts on that?
Alf Poor: Yeah. It's fully effective now. And, obviously, it's fair in case we need to bring capital into the company. So as I said, generally speaking I think Conor would agree, it's good housekeeping for public companies particularly small-cap companies to have an effective shelf at all times. Because obviously it gives you greater flexibility when you want to raise funds you can do it quite quickly. So unless Conor has anything to add. I'd say that's my answer.
Conor McCarthy: No, no. I think you stated the -- that if it's very succinctly off.
Alan Stone: Thank you.
Alf Poor: Thank you. Stay safe guys.
Conor McCarthy: Thank you, Alan.
Operator: The next question is from Miles Murphy of Miles Gray Investments. Please proceed with your question.
Miles Murphy: Hey, Al, how are you?
Alf Poor: Hi, Miles. Good afternoon. How are you?
Miles Murphy: Good, good, good. Hey, just a couple of questions here. So my question wasn't able to come through effectively on the last conference call. In regard to the $2 billion in guidance, can you speak to that as we continue to move through the year and not hear anything about deliveries whatsoever? And then just hearing $400,000 are we -- can we expect to revise guidance dramatically down to a more attainable number considering that we're going to be reporting net versus gross?
Alf Poor: Yeah. I think, I mean, Conor can speak more to the net versus gross, because it goes on a -- very much by a deal-by-deal basis whether we're -- I think the terminology used was the agent the principal. In the COVID-19 world, obviously, all bets are off. But there's -- for us, it's a little bit of a schizophrenic situation. Obviously we've seen our first quarter essentially delayed and kicked over into Q2, but I would also say that the response from China in terms of its economic stimulus package is very different to what we'll see here in the U.S. First of all, there are no elections in China. They've only been an election year, which I think you'll see a big political slant to the economic stimulus in the U.S. this year. China has gone specifically for infrastructure investment and progressive infrastructure investment as well. So I think in terms of what that means for us, there's certainly an opportunity because China is trying to accelerate some of the infrastructure and that may be something we can take advantage of. But at this point, until the COVID-19 pandemic shakes out a bit better, it's going to be hard for us to give any kind of real number. Except for the fact that as Conor said, I think we did well to get some orders delivered. I think that was a stake in the ground for us and a very important thing for us to do. There were some more incomplete orders that we couldn't get over the line and Q2 has some more significant order deliveries in it. So providing there's no second wave as I mentioned in my prepared remarks, I think will be good for a decent number of revenue this year, but exactly to what percentage I can't say at this point.
Miles Murphy: Sure. Okay. So would it make sense -- I'm sorry my follow-up question was would it make sense to withdraw guidance than to restate a number that we can't commit to. I'm just wondering as we sit at $0.49 exclusion from the Russell, and potentially delisting. I feel like withdrawing the guidance would be very prudent. We think that…
Alf Poor: I think, I've got three answers to the three points you made there. The first one is, obviously, we didn't give formal guidance. We said we were looking to do revenues within the region. We give formal guidance out to many different ways. Second point I would say is the Russell rebalance is underway. We don't know what it will mean this year. They've got some unprecedented times ahead.  I would hope their considerations are around the fact that we're looking at the types of companies because no one will have reported their Q2 results by the time the Russel reshape happens. And so the last thing they'll want to do is have a lot of companies that are in bad shape, I would say people looking for good long-term investments on to be looking at progressive industries like the types of industries that we're in EV. I think anybody in the restaurant, tourism, hotel business, airline business is going to be absolutely flanged when they report their Q2 in preceding quarters earnings. So it's a difficult question. In terms of delisting, the NASDAQ has been working with the SEC to extend guidelines. We now have until mid to late September to get our bid requirement back up to at least $1 for 10 consecutive days. We believe between Q2 and our AGM which is going to take place sometime between late June and mid-July, I think we'll be able to restore a lot of confidence in the market. We'll see that naturally take care of itself. Is there any point you want to make Conor?
Conor McCarthy: Yes. I just wanted to come back and I've said this before in the previous call. I mean our business is fleet commercial sales. And by definition those deals are enterprise deals. And consequently they're all heavily negotiated. And so whether we will be reporting them on as an agent or a principle also known as gross or net will depend very much on the facts and circumstances of each deal. However, I would point out that regardless of whether we are on a gross or net basis the gross profit is the same. The EBITDA from the deal is the same and the cash earned from the deal is the same. So yes, the headline number revenue can be quite different. But in terms of our profitability and cash generation the accounting doesn't materially change that.
Operator: The next question is from Peter Wright of Intro-Act.
Peter Wright: Great, thank you guys for the update and taking my question. I'm hoping you can validate my thinking on this. So if we go to a visible number of business across the different segments within MEG of about $2 billion and we just for conservative purposes assume everything is on agency that -- my math is suggesting that moves -- the $2 billion number down to about $100 million in kind of net revenue. And then there are several factors that might impact that number, competitive win rate, COVID of course, the percent that you think will hit in 2020. I know you're not issuing formal guidance at this point. But when link all those impacts out there that's facing the world including Ideanomics in 2020, I guess what I'm really trying to get at is, do you think that it's possible still today that a profit is generated in the second half of 2020 for the MEG business unit? And I have one follow-up.
Alf Poor: Yes. Thanks for the question, Peter. It's an interesting one. Yes, I absolutely do believe that we'll achieve profitability this year. The reason I say that is, we're in a progressive industry. We're in an industry which is driven by regulation timelines and a lot of the stimulus packages that have been put out at regional level as well as national level in China are accelerating the adoption of EV. Something unique happened when we put a pause on society through the COVID-19 outbreak which was major cities like Chengdu and Beijing which usually are just a thick smog in the winter months had blue skies. So there was no way to know just how bad the traffic was. A lot of the blame and the micropollutants was on the coal-powered energy electricity stations over there, but it looks like the automotive industry was having the traffic. So having a much greater impact than even the most skeptical analysts had put forward. So China is doubling down on those types of investments and that leads us to the conversations that we're having with our partners at manufacturing level and with our customers to believe that we'll have a significant business in the second half of the year.
Peter Wright: Is there any comments you can have on kind of the competitive environment? Is there anyone else that you guys are going against when it comes to procurement or on the financing side of your business today?
Alf Poor: On the financing side of this --- on the financing side, specifically in China, no. We've set these up bringing in some of the biggest enterprise customers with cash on their balance sheet from utilities, who have a downstream interest in this, because they'll be selling -- participating in selling the energy and the EV charging to big insurance companies who typically look to do these types of corporate debt investments. They come to us as we've helped them set up these lease financing pools. These large-scale funds had to have somewhere to place their money. They believe these sound better they're placing here and these are sound investments. So that makes us feel good. But even though capital is tight in the world of COVID-19, there's a lot of capital in China. And I'm sure as soon as people start to recognize what we're doing and they see the profitability and the fundamentals there will be competition. I don't think we should assume there'll never be competition, but at least at this point, we've got a first-mover advantage we believe.
Peter Wright: That's wonderful. And my very last question is a follow-up on one of the other questions. If you can help us understand how you're thinking of CEDAR and how you're thinking of capital needs this year in light of that profitability, can you put a band around or kind of at least help us think strategically how you're thinking of your capital needs for this year?
Alf Poor: We have a couple of threads running internally. One is the day-to-day funding of the business. Until we derive those revenues, we can't test our ability to repatriate the revenue from China back through to the U.S. The second one is as I mentioned, my answer to the previous question is China is doubling down. Its stimulus packages is very favorable for EV and for EV charging and clean energy. So we have to take considerations as we see the market start to come out of the COVID-19 if we need to accelerate some of what we're doing to take advantage of that. That may be one of the reasons for capital requirements in the second half of the year.
Peter Wright: Wonderful. Thank you guys.
Alf Poor: Thank you so much.
Operator: That's all the time we have for questions today. I would now like to turn the call back to Tony Sklar for closing remarks.
Tony Sklar: Thank you very much everybody. This concludes the Ideanomics Q1 2020 Investor Earnings Conference Call. We encourage our community to continue to reach out to us and we can answer any additional questions that you may have individually. You can send your questions to ir@ideanomics.com. We'd like to thank all of our listeners, shareholders, analysts and others who have taken their time to listen to the earnings call and we do refer to our SEC filings for any additional information that you might need. This call will be available from our website in the Investors section and you will find the link there. To be alerted for news events and other informations in the timely manner, we recommend following us on all of our social media accounts sign up for our newsletter and explore our website at www.ideanomics.com. Thank you everyone for participating and being on the call today.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.